Operator: Good day, everyone, and welcome to AMSC's First Quarter 2017 Earnings Conference Call. This call is being recorded. [Operator Instructions] With us on the call this morning are AMSC's President and CEO, Daniel McGahn; Senior Vice President and CFO, John Kosiba and Manager of AMSC Investor Relations, Brion Tanous. For opening remarks, I would like to turn the call over to Brion Tanous. Please go ahead, sir. 
Brion Tanous: Thank you, Cynthia, and welcome to our call to discuss our first quarter of fiscal 2017 results. Before we begin, I like to note that various remarks management may make on this conference call about AMSC's future expectations, plans and prospects constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our Annual Report on Form 10-K for the year ended March 31, 2017 which we filed with the SEC on May 25, 2017 and subsequent reports that we have filed with the SEC. These forward-looking statements represent our expectations only as of today and should not be relied upon as representing our views as of any other date subsequent to today. While AMSC anticipates that subsequent events and developments may cause the company's views to change, we specifically disclaim any obligation to update these forward-looking statements. I would like to note that we'll be referring on today's call to non-GAAP net loss or net loss before stock-based compensation, amortization of acquisition related intangibles, consumption of zero cost basis inventory, non-cash interest expense, change in fair value of derivatives and warrants, tax effective adjustments and other unusual charges. Non-GAAP net loss is a non-GAAP financial metric. A reconciliation of our non-GAAP to GAAP net loss can be found in the press release we issued and filed with the SEC last night on Form 8-K. All of our press releases and SEC filings can be accessed from the Investors page of our website at www.amsc.com. And now, I will turn the call over to CEO, Dan McGahn. Dan? 
Daniel McGahn: Thanks, Brion. Good morning, everyone. I'll begin today by providing an update on our Wind business. John Kosiba will then provide a detailed review of our financial results for the first fiscal quarter which ended June 30, 2017 and provide guidance for the second fiscal quarter which will end September 30, 2017. After John's review of the quarter, I'll provide an overview of our progress towards completing our corporate goals for this fiscal year. Following our prepared remarks, we'll open up the line to your questions. Revenue for the first quarter of fiscal year 2017 came in at the top of our guidance range. We ended the first quarter with $37.7 million in cash. We shipped anticipated quantities of electrical control systems during the first quarter to our customer Inox Wind. We expect increased ECS shipments to Inox in the second quarter of fiscal 2017. Inox's expectation and our expectation based on Inox's current backlog and the number and size of additional auctions planned is for a stronger second half of the fiscal year. We see the Indian wind market in fiscal 2017 unfolding as anticipated. Inox is experiencing a temporary demand dislocation caused by a change in the wind power tender system. Inox won nearly 30% of the first national auction of 1,050 megawatts. There are 2,500 megawatts of additional demand already in queue to be auctioned. We see no additional risk to Inox Wind since our last call. We have already received cash payments from Inox this quarter. Based on our discussions with Inox and their own public statements, we see a stronger second half of fiscal 2017. Inox will begin production on schedule. Multiple auctions will materialize in the second quarter of our fiscal year. Additional auctions are planned for the third quarter. Inox anticipates rapidly building their backlog. India's first national auction for wind power projects in February resulted in 1,050 megawatts being tendered to 5 developers, Inox's wind development arm included. In addition to the 250 megawatts won directly by Inox's development arm in this first auction, Inox has secured an additional 50 megawatts from another winning independent power producer. In the third quarter of fiscal 2017, Inox plans to begin manufacturing wind turbines for the 300 megawatts of projects it secured in the first auction. A second national auction based tender for another 1,000 megawatts is currently underway and expected to include -- to conclude in August. Inox is bidding on this second national auction of 1,000 megawatts as well. In fact the Indian Central Government is expected to auction between 4,000 and 5,000 megawatts of wind capacity this fiscal year. In addition, state governments are expected to auction an incremental 2,000 to 3,000 megawatts in fiscal 2017 as well. We have some visibility on these upcoming state auctions. The State of Gujarat is expected to auction 500 megawatts of wind projects this month. The State of Tamil Nadu is expected to auction 500 megawatts of wind projects next month in September. And the State of Karnataka is expected to auction 500 megawatts of wind projects as well. We believe the timing of Karnataka's wind auction will be announced very soon. We expect Inox to bid on wind projects in each of the upcoming state-run wind power auctions as well as the national auctions. Because of Inox's success in this first national auction, we now have visibility on the potential demand for our ECS product for the third and fourth quarters of this fiscal year. We believe the risk is decreasing. The predictability of the business should improve in 2017 and 2018. As a result, we remain very optimistic about the wind market in India and its growth prospects. Not only do we believe we will see a stronger second half of fiscal 2017, we anticipate the third quarter of fiscal 2017 could be stronger than we've seen over the past several years for our grid business. Moving on to the move to provide a quick update. In April, we announced that we were exploring options for moving our manufacturing and administrative operations at Devens, Massachusetts to a nearby smaller scale building. A smaller scale facility and its associated reduction in operating cost is anticipated to boost manufacturing efficiency, optimize the business for near-term revenues and help further align with our vision for growth. We expect that we will reduce our annual expenditures by approximately $4 million to $5 million once the savings are fully realized. So by April 2018, we expect to be operating with a reduced physical footprint and a reduced cost footprint. These actions are aimed at reducing our cost of goods sold as well as our operating expense. We believe that once fully implemented, our cash flow breakeven point will be significantly lower than it has been historically. We have decided on the location of our new headquarters. We have begun preparations for the move. We are staying in Massachusetts. The new location is only a few miles from our Devens facility and because of the proximity of our new home to our current facility, our employees should not be affected by this move. We anticipate the transition of our employees and our manufacturing operations will take place during the second half of fiscal 2017. We do not expect this transition to impact our ability to deliver to our customers. In the new facility, we plan to manufacture all of our grid-related products. We will produce components for our D-VAR, VVO, REG, ship protection systems for the U.S. Navy and our 2G high temperature super conductor HTS wire. Now, I'd like John Kosiba to discuss our financial results for the first quarter of fiscal 2017 as well as provide financial guidance for our second fiscal quarter ending September 30, 2017. John? 
John Kosiba: Thanks, Dan, and good morning, everyone. AMSC generated revenues of $8.9 million for the first quarter of fiscal 2017 compared to $13.3 million in the year ago quarter. Our Grid business unit accounted for 74% of the total revenues for the first quarter while our Wind business accounted for 26%. Grid business unit revenues decreased modestly in the first quarter versus the year ago quarter due primarily to lower D-VAR systems revenue mostly offset by higher revenue from the U.S. Navy. The U.S. Navy represented 35% of our total revenues in the first quarter of fiscal 2017. Wind business unit revenues decreased in the first quarter versus the year ago quarter as a result of reduced ECS shipments to Inox during the period. 12-month backlog at June 30, 2017 was approximately $64 million compared with the 12-month backlog of $66 million at March 31, 2017. Looking at the P&L in more detail. Gross margin for the first quarter of fiscal 2017 was negative 50%, which compares to 6.5% in the year ago quarter and 17.5% in the previous quarter. The year-over-year decrease in gross margin for the first quarter was primarily due to the decreased revenues versus the year ago quarter along with a more favorable product mix in the prior year period. Additionally, we experienced an increase to cost of revenues of approximately $2.5 million in the first quarter of fiscal 2017 due to accelerated depreciation related to revised estimates of the remaining useful lives on certain pieces of manufacturing equipment. R&D and SG&A expenses for the first quarter of fiscal 2017 were $8.9 million. This was down from $10.2 million for the same period a year ago primarily driven by lower overall compensation expense due to decreased headcount. Approximately 15% of the R&D and SG&A expenses in the first quarter of fiscal 2017 was non-cash. Restructuring expense was $1.3 million in the first quarter of fiscal 2017. Other expense was $1.4 million in the first quarter of fiscal 2017 versus other income of $0.1 million in the year ago quarter. The increase in other expense versus the year ago quarter was primarily driven by higher foreign currency losses. Our net loss in the first quarter of fiscal 2017 was $15.3 million or $0.91 per share. This compares to $10.4 million or $0.76 per share in the year ago quarter. Our non-GAAP net loss for the first quarter of fiscal 2017 was $15.4 million or $0.92 per share compared with $8.7 million or $0.64 per share in the year ago quarter. Please see our press release issued last night for a reconciliation of GAAP to non-GAAP results. We ended the first quarter of fiscal 2017 with $37 million in cash, cash equivalents and restricted cash. This compares with $27.7 million as of March 31, 2017. Our cash balance at the end of the first quarter includes $17 million of net proceeds from the issuance of 4.6 million common shares, which includes 600,000 shares granted as an option to the underwriters for purchase at the public offering price. The equity offering closed on May 10, 2017 and the underwriters' option closed on May 26, 2017. Our first quarter fiscal 2017 cash burn excluding the $17 million of finance proceeds was approximately $7 million. This was in line with our previous guidance. As of June 30, 2017 the outstanding balance of our term loan was $0 compared to $1.5 million outstanding as of March 31, 2017. The term loan was repaid in its entirety on June 1, 2017. Turning to our financial guidance for the second quarter of 2017. We expect that our revenues will be in the range of $9 million to $13 million, our net loss is expected to be less than $14 million or $0.73 per share and our non-GAAP net loss is expected to be less than $13.5 million or $0.70 per share. Please see reconciliation of GAAP net loss to non-GAAP net loss provided in the press release we issued last night. We anticipate a cash burn of $7 million to $8 million in the second quarter. With that, I'll turn the call back over to Dan. 
Daniel McGahn: Thanks, John. We want to grow and diversify our revenue base. We are focused on growth through grid. We are committed to announcing an additional city to perform a REG deployment study. In May of 2017, we announced Seattle City Light and completed this milestone. With a key focus on sustainable solutions, Seattle City Light will evaluate REG as a solution for several power distribution applications within the utility service area. During the first quarter, we also announced our relationship with Electrical Consultants Inc. or ECI, an engineering procurement and construction firm based in Billings, Montana. As a preferred vendor to AMSC, ECI will support our efforts to offer utilities full turnkey REG solutions while potentially opening up additional channels to market. We set a goal for fiscal 2017 to close the ComEd contract with acceptable commercial terms and begin the construction phase in Chicago. We need to make sure what we do with ComEd makes good business sense to us. Our negotiations with ComEd for a commercial contract continue. We will report progress with ComEd as we are able to announce it. We continue to be in discussions with other cities and other utilities for our REG product. We are focused on growing our Grid revenue for fiscal 2017. D-VAR is a large part of our Grid business today. We continue to see demand for our D-VAR product in all 3 of our target markets of grid connection for renewable energy, industrial applications and the electric utility market. During the first quarter, we booked 3 D-VAR orders; 1 for a wind farm project in the U.S., another for a wind farm project in the U.K. and we booked a new order for a repeat customer in the industrial segment. In fact we believe that the third quarter of fiscal 2017 could be one of the strongest D-VAR quarters in a long time. We expect to generate orders for our VVO product in fiscal 2017. VVO was introduced to the utility market in January of this year at the DistribuTECH Conference Convention in San Diego. The launch of our VVO product is going very well. Our sales team is targeting utilities in the U.S. We are seeing interest in VVO from investor-owned utilities, cooperative public utilities, as well as municipal utilities. The value proposition of VVO addresses 3 important issues for utilities; voltage management, solar capacity and conservation voltage reduction or CVR. We anticipate significant demand for our VVO solution with the advent of electric vehicles or EVs. They are going to be increasing the bidirectional flow of power on the distribution grid. Our VVO solution addresses the increasing reliability and safety concerns brought upon by the integration of EVs and solar on to the distribution grid. The Tesla Model 3 launch will further challenge the distribution grid. We believe our VVO offering doubles the addressable market for our voltage management solution. We anticipate VVO could be an important component to the long-term growth of our Grid business. We expect to deliver VVO units to our beta customers and build a backlog of commercial VVO orders in fiscal 2017. During the first fiscal quarter of 2017, we talked about delivering a beta unit to the U.S. Navy. We delivered our beta version of the deployable ship protection system, which I'll refer to as the deployable. The deployable is expected to provide the U.S. Navy with a robust mine countermeasure capability that is anticipated to minimize the risk to fleet assets and personnel during mine countermeasure operations. The core components of AMSC's HTS-based ship protection systems are common and transferable to other applications being targeted for ship implementation. AMSC is continuing its work to expand HTS technology into the fleet through a variety of applications for power, propulsion and protection equipment. I am very proud of the AMSC team responsible for delivering this unit and I'm very proud of the progress we continue to make with the U.S. Navy. And now I'd like to focus on discussing our final corporate goal for fiscal 2017, which is to secure our next SPS order from the U.S. Navy. We are actively working with the Navy on this order. We have demonstrated how our HTS products could enable the next generation of ship protection systems. In May of 2015, we announced a contract worth up to $8.5 million to provide HTS-based ship protection system equipment to the Navy. This contract includes components for both ship projection systems, but also HTS-based power delivery systems. In May of 2017, we announced a contract worth up to $8.4 million for engineering and technical services from the Naval Surface Warfare Center. This sole source contract was entered into to support the U.S. Navy's insertion of AMSC's HTS-based ship protection systems into the surface fleet including interface hardware for testing and training systems. We believe this sole source contract for engineering and technical services is a clear indicator that the Navy is ready to integrate AMSC's HTS-based SPS into the surface fleet. We have received a lot of questions from investors regarding our target market for our ship protection systems. I'd like to take this opportunity to provide some detail of a few vessel platforms, which could potentially replace the legacy system with our HTS-based SPS. Let's start with the littoral combat ship platform or LCS. The U.S. Navy developed this smaller more agile ship to navigate at speeds of over 40 knots in shallower waters with the purpose of making it reconfigurable and adaptable to specific missions including mine countermeasures, anti-surface warfare and special operations. There are 2 classes of LCS, the freedom and independence. The freedom class is just under 400 feet in length manned by a crew of approximately 40, designed by Lockheed Martin and built at Marinette Marine in Wisconsin. The independence class is over 400 feet in length manned by a crew of over 40, designed by General Dynamics and built by Austal USA in Alabama. There are 26 littoral combat ships either in service or in production today. The Navy's 30-year naval vessel construction plan calls for the production of 55 vessels, which includes small surface combatants such as LCS ships or future frigates. As I have mentioned in the past, the expected revenue to AMSC from a small ship such as the littoral combat ship could be anywhere from $3 million to $5 million. The San Antonio class vessel is an amphibious vessel. These ships conduct expeditionary warfare missions by delivering troops and equipment. The length of this ship is nearly 700 feet, travels in excess of 22 knots and can carry up to 800 troops. Construction on the USS San Antonio, the first ship of the class, began in 2000 in Virginia. The USS Portland, which is called the LPD-27, is the 11th amphibious ship to be built and is currently under construction by Huntington Ingalls Industries in Mississippi. The Navy has also awarded Huntington Ingalls the construction of the USS Fort Lauderdale, also known as LPD-28. As the 12th San Antonio class ship, the USS Fort Lauderdale will incorporate cost reduction initiatives and class lessons learned. LPD-29, the next ship, has already been funded by Congress in FY 2017 and discussions are already away in Congress for a possible LPD-30. There are about 32 amphibious ships in service today and the Navy plans call for the construction of an additional 23 amphibious vessels, LPD included. The expected revenue to AMSC for a medium ship such as the amphibious vessel is between $5 million and $15 million. Destroyers or battle ships capable of leading a strike or protecting the fleet against other ships, submarines and aircraft. These heavily-armed large surface combatant ships can operate on their own or as part of a larger fleet. Today, we have 2 classes of destroyers, the Arleigh Burke and the Zumwalt class. The Arleigh Burke class is built by Bath Iron Works in Maine and by Huntington Ingalls Industries in Mississippi. Lockheed Martin is the radar and combat system integrator. The Arleigh Burke class is over 500 feet in length, can travel an excess of 30 knots and carries a crew over 300. The Zumwalt class is being built by Bath Iron Works, a division of General Dynamics, in Maine with Raytheon as the prime contractor responsible for the design and development of the Zumwalt mission system, a computerized network which includes the ship's combat system. The Zumwalt class is over 600 feet in length, can travel at approximately 30 knots and has a crew size of 175. Today, there are 62 Arleigh Burke class destroyers operating and 1 Zumwalt class. The Navy plans calls for the construction of approximately 66 large surface combatants, most if not all destroyers. The expected revenue to AMSC for a medium ship such as a destroyer is between $5 million and $15 million. Aircraft carriers are the largest warships ever put to sea traveling typically in battle groups. These vessels operate in international waters without needing permission for landing or over flight rights. Each carrier is sovereign U.S. territory with a 24-hour airport and a population dedicated to protecting U.S. interests. Aircraft carriers are more than 1,000 feet in length. The carrier travels at speeds of over 30 knots with a crew size of over 4,500 and has the capacity to hold over 75 aircraft. There are 11 aircraft carriers in service today and the Navy plans for the construction of an additional 6 carriers. The expected revenue to AMSC from a large ship such as an aircraft carrier is between $20 million and $25 million. The current administration has the desire to expand the U.S. Navy fleet by nearly 30%. Every additional vessel added to the Navy's build plan increases our addressable market for ship protection systems. There are a number of other vessel platforms within the Navy's fleet, which we feel are strong candidates for AMSC's HTS-based ship protection systems. But given the fact that I've received so many questions from so many of you, I decided to take the time today to discuss some of our target markets within the Navy. On March 21, 2017 the Department of Navy issued a request for information notice or RFI to the public. The Navy is required by law to publish RFI notices when they intend to issue sole source contracts. This particular RFI indicated that, and I quote, the Navy has a requirement for high temperature superconducting wire assemblies. The Cryostat, HTS Wire, and Terminations are required to assemble HTS degaussing wire assemblies. It is the government's intention to award a firm fixed price purchase order, utilizing other than full and open competition to American Superconductor Corporation, AMSC. As only AMSC can meet the government's requirements. The Navy intends to issue a solicitation to the specified vendor to meet mission requirements." On May 30, 2017, the Navy posted this RFI notice for the second time. So that reset our clock by about 60 days. Our focus is to secure an HTS SPS order from the Navy. I hope to report back to you very soon. We will continue to develop the proprietary nature of our systems and work to increase the amount of AMSC contents per ship. We will pursue opportunities to further strengthen our system- level proprietary technology, whether that be through internal development or through acquisition of strategically important technology. We have unique system offerings and have developed system level understanding, system level differentiation, and system level know-how. Our strategy is to deliver system level value, value beyond the wire. We will continue to work to expand HTS technology into the fleet through a variety of applications for ship protection systems, power delivery systems and ultimately propulsion systems. I understand, people have been nervous about the Indian wind market, Inox. But hopefully today, the facts we put forward will provide some comfort and clarity to what's expected. We see Inox moving past the disruptions in the Indian wind market. They anticipate being able to rapidly build their backlog. We expect higher levels of ECS shipments to Inox in the second half of fiscal 2017 and our production plans reflect that. We are focused on continuing to grow our D-VAR business. The market is excited about our new VVO product. The value proposition of our REG solution is resonating with utilities in the U.S. and most recently with Seattle. And we believe that our opportunities with the U.S. Navy will be realized in the very near-term. We are executing against our goals and that is to the credit of our employees for their hard work and dedication. I look forward to reporting back to you with the completion of our second fiscal quarter of 2017. Cynthia, we can now take some questions from those that you have queued up. 
Operator: [Operator Instructions] We'll first hear from Philip Shen with Roth Capital Partners. 
Philip Shen: First one is on Navy. Dan, thanks for all the detail there. Definitely very helpful in understanding how near-term this opportunity is. Let's say, that things start to get going soon. How do you expect the business to possibly ramp? Is there an opportunity for generating revenue in this fiscal year? I know, you have your goals here to announce an order. But what do you have -- what's your sense as to when the revenue could actually start to flow? 
Daniel McGahn: Thanks for the question, Phil. I think, from what I understand today, there certainly is a possibility that additional revenue could be realized as soon as this year, but we're not currently planning on that. First step is to get that order across the goal line which I mentioned or kind of alluded to, that we're very close. We want to be able to have the permission to be able to announce that order. And then hopefully that announcement will help people to really understand that there is a stream of revenue that's going to come, not just the first order but that once we're designed in and potentially baselined into a platform that you do need to get subsequent contracts to ship product against. But that once you are baselined and designed in, the ability to be removed would take years and potentially tens of millions of dollars. So we think, we're very close to finally realizing the true original promise that American Superconductor had, which is viably commercial, persistent applications using the HTS technology. And I look very, very forward to being able to talk more about progress with the Navy and continued progress with them. 
Philip Shen: Great, we look forward to it as well. Shifting gears to Inox. Clearly, the company had some experiences and challenges, and you gave a lot of really interesting commentary in terms of their confidence and their ability to ramp-up their backlog and in turn your ability to ramp-up your shipments and deliveries to them. That said, I wanted to kind of explore the topic a bit. In mid-July, the company went through some insolvency proceedings during this customer payments. I believe, they were settled by the end of month. Do you have any insight into the situation there from -- like into Inox's financial situation and potentially what the risk might be as it relates to future ECS order flow? 
Daniel McGahn: Yes, so I think -- I don't think the risk is really, I guess my lawyers teach me that never say, there is no risk. But I think, having Inox go through that proceeding shows that there is very limited risk with their situation in their cash balance. One of the challenges, I think, that the media had with some of these proceedings are this process is relatively new, I don't know if Inox is the first one to be called into this process or not, but they certainly are one of the first ones to go through this. Basically, the name of the process is given because the test that Inox has to pass is one of solvency. So basically, they're saying that if you are solvent then why are you paying these nice people. And if Inox proves that they are solvent, which they did, and there is no real risk there in their business that it's kind of a misnomer. This isn't a bankruptcy proceeding when we see insolvency like we would in the U.S. This is more of a vendor trying to get paid and the threshold is pretty simple and low is, if you're solvent, you should pay. So Inox has moved forward with that vendor. They've got that behind them. The court actually came out -- I think there was some issues about even the legality of using that court in this way. It was a bit unfortunate certainly for Inox. It was certainly unfortunate for us, because I think that many writing information on our company may have solved that word and got more scared than they should have. It is --- insolvency is a scary word, but that really isn't the literal meaning of what that proceeding had to deal with. 
Philip Shen: Great. That color is very helpful to understand the -- the perhaps cultural differences and that is the meaning of that word. 
Operator: And next we'll hear from Carter Driscoll with FBR Capital Market. 
Carter Driscoll: Thanks again for all the detail on both Inox and the Navy. First question is, you talk about where you stand in terms of your contracts -- trying to pull forward a contract with Exelon, what kind of the puts and takes trying to get that across the finish line. And just comment upon the -- them getting the smart grid initiatives rate based within the PUC there kind of haul up? 
Daniel McGahn: Yes, I think, we'll take the second part. I mean, they've set multiple precedence on how they're able to get things rate- based particularly for new and advanced technology. They are a company that tries to be on the leading edge for adoption and examination of new technologies. So they certainly are a potential great partner for us. I don't really have much to say about the progress. Other than progress continues. We continue to have substantive discussions with them but we need to make sure that the terms and conditions that we take are of value to all of us. So I can only imagine that certain of you are probably hoping that we can announce a REG order in the very near- term. I would say, keep that hope. We will continue to work with the utility. We have strong commitment from them in the level of activity that they've placed on this, their understanding of what we're trying to do and I think we have a very good partner. We just now need to get that contract finalized and announced and we have to do that together. So I think part of what you should read into what I'm saying, Carter, is we're talking a lot about the Navy and there's probably a reason for that. 
Carter Driscoll: Yes, now I understood. If you could -- shifting gears over to the Navy, could you talk about the system that is actually -- the system that's actually replacing the deployable unit? Obviously functionality is the primary driver. But maybe from a cost perspective, how your -- your system replaces the old copper-based system and just maybe try to quantify it for us? 
Daniel McGahn: And you're talking for the deployable? 
Carter Driscoll: For the deployable in particular, yes. 
Daniel McGahn: The deployable is a little hard to get into because we're just at the beta level so I don't have a final design or a print or something we go build. But I think we said previously our expectation is the value of one of these units is similar to a small SPS system, it's in the couple few million dollar kind of range. The main competitor that we understand is we don't see a direct competitor of something that can come on as a payload on the ship within a ship that can interact with mine fields. The way the Navy has tried to do this and there's a lot out there in the public domain and maybe one of the things we should do is talk about that. And as we do make more progress with the MCM, that we talk about kind of what the last 20 years of mine -- I want to use the words I can't use -- mine countermeasures I can use those -- of mine countermeasure approaches the Navy's embarked upon. They have solutions for instance where they have helicopters and they dangle copper cables behind them. It's hard to try to look at this in a traditional marketing way. What's the alternative? What's your additional value? What's the price? Because the Navy doesn't have a solution today. So, it's hard to say what we have to compete on cost or we have to compete on certain levels of performance when they clearly are turning to us and saying can we develop the solution. That doesn't mean the sky is the limit on pricing. Something has to be within an envelope of the kinds of payloads that they put out in the wild and this mine countermeasure platform needs to fit within that envelope. And giving you that kind of general range of this is on the order of a couple few million dollars similar to the small ship system. Now part of what we're trying to do with going through a lot of the numbers today is to help you understand not only the newbuild fleet, but the existing fleet. So, one of the things we want to do once we get through the beta testing and we get into a production unit is we'll have to come back and explain what a rollout might look like and we don't have that visibility with the Navy. But if you look at these multiple ship platforms we presented today, there's an opportunity here that could be potentially more than 100 ships and could really be a real business for us in addition to what we're already doing with the degassing and the SPS that goes inside the ship. 
Carter Driscoll: I know there's a very substantial opportunity in front of you. On VVO, I think I heard you say you're still hoping to pull an order through, but not as surely get revenue impact in fiscal '17 so I think consistent with what you said in the past. Can you talk about maybe geographically or any level of specificity where you expect the first volumes? If it were solar and you're seeing increased EV paired with that like you say increase in the bidirectional impact on the distribution grid, it means that the usual geographic areas that we should be thinking about? 
Daniel McGahn: To comment directly on VVO, your expectations are right. What we want to do is we want to deliver the betas and get the commercial contracts, build a pipeline and a backlog this year. We're structuring those agreements in a way where the revenue will occur later in the delivery cycle with the customer so we don't anticipate real revenues from VVO in fiscal 2017. We targeted principally, but not exclusively U.S. utilities. And I think you have it right, it's kind of the usual suspects of those that have residential PV problems, they have rollouts of EV support on the grid where there's kind of a known problem or a voltage challenge that they've presented. But what we've learned in the discussions in San Diego and subsequently that this is really a national product that has national applicability. It won't just be limited to pockets where they really understand solar or they really understand EVs that -- these voltage type situations and need to boost the distribution grid, which is really what uniquely VVO does independently a D-VAR. It is our distribution level solution that there are a variety of applications that are actually beyond what we initially had said. The more we talk to more utilities, they identify the initial problem which probably fits what we think the offering can solve and then subsequently look at additional problems that we can solve that we may not have thought of. So, the utilities are really helping us to better understand the value of the VVO product and VVO longer term should be a main part of our strategy for growth through grid. 
Carter Driscoll: I agree, I haven't seen a similar type product out there today and specifically calling out the model really I think is unique but certainly realistic. Maybe just last question for me. I know you haven't talked or focused much about the legal case in front of you in a while, but can you comment upon the criminal case the DOJ has been pursuing, maybe timing or any color you can give on how that could play out over the next hopefully several weeks? 
Daniel McGahn: Couple of things on that. We don't have anything in the prepared remarks because we tend to just -- we want to focus on the business as it is and make sure that we're growing that business and delivering results through that. But specifically the litigation in the U.S., the U.S. Department of Justice case, we have a date that's set now in January. We had another setback in the proceeding, not anything to do with the merits of the case. Unfortunately the judge that has been in charge of the case had a stroke so we've had to have the judge replaced and they have to come up to speed in learning and all that. So it's kind of par for the course with us, another thing extends the time horizon. I think the other thing that seems to be brewing, there was a Wall Street Journal article out recently that talked about potentially the current administration looking at doing to China what it's done to Russia with sanctions and specifically those sanctions revolve around our issue where we're kind of the poster child for it with the American government on intellectual property theft and abuse. So I was very, very pleased to see this administration starting to consider economic type ways to bring pressure on China to participate in the global economy in a way where the rules are fair. And those that have been damaged through IP theft would have potentially a stronger path to renumeration for those thefts because we've seen that to some extent happen with other nation states with sanctions. So if you go after the money and that's where the pressure is, usually that creates opportunities for those victims or those that are damaged to be able to find some way to settle or have a positive outcome. So, I see that as a positive event. I haven't seen a lot of press that links us yet to that issue that may eventually come. But I see that as potentially a sea change in the Trump administration really using this tool that we've been an advocate for back with the last administration that may actually have the potential to give us some benefit. 
Carter Driscoll: It seems to be a much more realistic way to deal with China than going after more tariffs. I immediately thought of you when I saw that article as well. I appreciate all the color, I'll get back in the queue. 
Daniel McGahn: The good thing is the government thinks of us too when those tools are utilized because we've been very persistent with the government on our issue. 
Operator: And our next question will come from Colin Rusch with Oppenheimer. 
Colin Rusch: Guys, could you talk a little bit about the progress you've made with international navies and those conversations and the various products that you could sell into them? 
Daniel McGahn: On the international Navy front, we do have dialogs with multiple foreign navies. I don't think I've said that before. But you've asked me a direct question and when you guys ask direct questions, I try to give you a direct answer. We do have constraints with the U.S. Navy and with the Department of Commerce that you have ITAR and EAR99, you have to get through their paperwork. It is much easier to get through that process when you have a sponsor in a foreign allied navy which we do that's really looking for something that is specific and demonstrable so that our U.S. process can evaluate it. So I feel good that we're making the right level of progress to potentially be in position to deliver an order with international Navies. We said back in May, that we could see that come as early as next year. I don't see anything in front of me that changes that timing at this point, but continue to ask the question and we'll try to give you better visibility on revenue expansion for the SPS product line outside the U.S. Navy. 
Colin Rusch: Perfect. And then I guess following up on the voltage question. It sounds like the conversations are diverse and the applications for the technology are more robust than you anticipated. I guess the question that I have is around the pacing of customer education and progress with those folks and how we can see the cadence of orders. I understand, you are not making any promises here, but typically what we'll see in utility scale application as a major customer making order and then you get follow-on orders from smaller utilities or other, I guess technology followers. So I guess, I'm trying to get a sense of the pace of the education and kind of how far you are in that process and then, the diversity of those number of folks you're talking to at this point. 
Daniel McGahn: Yes, the list is long and it's different. So you have a good handle on what we do on the D-VAR business and particularly with utilities or developers with their connecting the utilities. The VVO product is just very different for us. I mean, you wind up having literally hundreds of conversations in parallel and these conversations take 1 month to a few months to get them to understand and then get to the point where you identify a problem and then start looking at terms and conditions to deliver a product. So part of why we revamp the way we go about selling where we not just have our direct sellers but we have enlisted legion of manufacturers' reps, is just the deal flow as it were for orders. This is a much bigger number of problem, because we were looking at a unit that we want to be able to deliver quantities that are more like ECS and less like D-VAR. So every time the team shows me that list, it expands greatly, which gives me comfort that the initial value propositions I think are clear, recognizable and realizable for us. And I think that there will be the potential to expand the market further because when we talk to utility, we talk about VVO, we talk about REG. One helps the other and they also a have voltage component to them, they have a current component with them and we wind up getting in a discussion of really what some of the 1 to 2 year challenges are for that utility. And that gives us great feedback into possible applications for REG, possible applications for VVO. But also possible topics for exploration of new product development. So I'm really happy with what we're doing today with utilities. We're getting good feedback on VVO and REG and that will set the stage hopefully for additional growth products and growth in the future. 
Operator: And our next question comes from Jeff Osborne with Cowen & Company. 
Jeffrey Osborne: Yes, good morning and thanks for all the details, it's been incredibly helpful. Most of the key questions have been answered. I had a chance to listen to the Inox call this morning, as I imagine you did as well. And I just wanted to clarify, so they talked about escalating their construction cycle this fall and then having interconnections -- and projects finished in the March through June time frame, but starting to take orders in the coming months, which is a positive. And so can you just help me better understand when the ECS system would actually be installed with sort of baseball game, is that in the seventh inning of construction or is that early on in terms of [indiscernible] based on revenue recognition? 
Daniel McGahn: Yes, so it's very early on in the process. We're kind of one of the lead pieces that they -- when they procure. So their words where they are on track for production, they're going to produce for what they have in backlog beginning in October. They made that clear on the call. So I felt very comforted that they're starting up their production on time. We have seen their forecasts on what they can do in a range -- when we look at the first auction and some of the subsequent auctions. I think, the risk that's behind us is that they're going to take shipments in Q2, kind of as we planned. The question now will be in Q3 and Q4 is how strong could they be? So if they're able to secure some of these auctions that have been out for a period of time, the ones that we mentioned, there is potentially need for some of those turbines as early as the third quarter. So we are continuing to have those discussions with Inox. You guys know, we've really only guide the 1 quarter out but every sign points to that we're right where we thought we were going to be. And we feel that we're going to have a really good second half. We also tried to put an indicator out there to give you even more comfort on Q3, that we see it to be potentially one of our strongest quarters for D-VAR and the grid business in a while. So we feel very good about the numbers, we put out for -- certainly for the September quarter but for the December quarter, we see things strengthening and really strengthening is the point where we're comforted today. We feel good with the cash balance that we have and we feel good about what's going to transpire here over the fall with these auctions and the demand that we're going to see from Inox in December, and then on to March and probably on a more regular basis through the June quarter and beyond as well. 
John Kosiba: Jeff, you did mention revenue recognition, just to be clear, our revenue recognition is not tied to their construction. We recorded revenue when we handover the ECS and the accept delivery. 
Jeffrey Osborne: Yes, so that kind of brings me to my second question is they also called out having 400 megawatts of inventory and I think over 349 days of inventory on-hand which certainly the analyst covering Inox were focused on. Is the risk that maybe you've already been paid for some of this inventory in the past that despite their activity levels increasing, that you might miss out as they burn off inventories that's already sitting there in a warehouse? 
Daniel McGahn: My understanding from what they said on the call and our direct understanding with them is that the inventory that they have now is not going to the first auction at all. They haven't built any of the turbines yet for the first auction. They do have some other backlog. So there are kind of 2 things that they've said kind of quickly: One there is other backlog than the 300 megawatts that they are delivering on. They weren't clear about what that number was and also there may be additional auctions that we did mention that were 400, 500, 600 megawatts that are all smaller auctions that could go as a quick clip. So unfortunately, I do know where all their inventory is going. I don't feel that that's going to restrict our ability to grow revenues quarter-on-quarter from Q2 to Q3. Certainly, as we look at Q4, there are potentials even for more volume coming from multiple auctions should present itself. So the fact that they have that inventory, I think that inventory has a plan and a home and that home is not for these national auctions. 
Jeffrey Osborne: Got it. May just another one. They also highlighted in their investor deck this morning or the slides about accelerating the cost reduction. Is there -- has there been any movement the last 6 months, Dan, on the 3 megawatt project or they've been more focused on the feed-in tariffs to auction mechanism and the working capital issues that they've had? 
Daniel McGahn: Yes, they've worked more on the latter. We do continue to have a dialog with the 3 megawatt with them. I can't handicap when we're going to move that forward at this point. They have a lot of fish to fry. But that being said, when they talk to us about longer term, and we talk to them about longer term costs, we both like to 3 megawatt. But for that to get them return, it's not going to help them in '17 for sure and it probably wouldn't help them until '19 at the earliest. So they have to go through their priorities. I think, they get more of a stable beat to their business, which looks like it's going to happen in '18 but they will feel better probably about all the things that they do with us because at the end of the day and they highlighted this on their own call. This is at the end of the day, a really good thing for the industry and it's really going to be a good thing for Inox because they can deliver performance at the price that's necessary to win in these auctions. That it will be level -- help to level- load of the whole year, in a way that we really never seen in India. And that means that they can look at overall their supply chain. I am not us, because that they understand our pricing and our payment terms, but there will be the opportunity for them as they start to scale with consistent volume that they should be able to get better financing, they should be able to deal better with shipping and duty terms for some of their international suppliers. They should be able to deal better with having level loaded baseload from their entire supply chain. Nothing that they said explicitly points to anything that means that there will be pressure on us. But at some point, that [Technical Difficulty]. They get to bigger scale and we look at the next contract and those kinds of things. But we continue to make sure we understand our costs very well and we try to take out cost wherever we can. 
Jeffrey Osborne: If I can squeeze 2 other quick ones in. One, is there any update on BASF and the relationship there to drive down cost? And then also I think you have it in the December quarter that you expect record grid shipments and then you mentioned D-VAR, but I just wanted to clarify. Is that entirely from D-VAR or are there any milestone payments related to Navy programs in that quarter? 
Daniel McGahn: It's kind of be all the above. And what I'm doing is I'm trying to make a statement and then have multiple paths that I know that I can have certainty of saying that statement. So, we feel real good about Q3 for Grid and I'll leave it at that. What was the other thing you asked? 
Jeffrey Osborne: BASF, any... 
Daniel McGahn: I can't report on their progress. If something moves with them that's important, we'll ask for permission from them to put out an announcement so that we'll be able to talk to it. But in the absence of that, I really can't give any color on that other than they are a big company to work with and I think they enjoy working with us and the relationship has been very strong. 
Operator: And that concludes today's question-and-answer session. At this time, I will turn the conference back to management for any additional or closing remarks. 
Daniel McGahn: Hopefully we gave you better clarity and comfort on where we are with India. Hopefully you feel that given the fact pattern we presented. Jeff talked a little bit about the Inox call. They didn't come out with anything that was different or unexpected and I think you're hearing from us nothing different or unexpected. We think that the risks are understood. We've tried to do the best job. We can communicate those from what we know. We've tried to increase the clarity around Inox and hopefully that is comforting. We feel good about the cash balance where we are. We're very cognizant of why we raised money. We want to continue to be focused on growing Grid. We're very focused on moving REG forward. We did talk a lot about the Navy today and hopefully that gives you some additional clarity and comfort that that relationship is progressing. It's going to hopefully progress pretty rapidly here in the near term. I don't want to go any further than that other than to say we're really happy about the position that we're in with the Navy not only for this year, but really for the future. We do believe we're going to be able to build a very nice stable business around the Navy over the coming quarters and several years. So we think we're in a really good position given the cash, given stability coming back in India; that really it's our job now to grow the order book. Moving D-VAR forward, moving REG forward and certainly moving the Navy forward I think will not only make everyone feel more confident, but me as well, me included. Our employees did a tremendous job getting that beta unit out and just not to belabor that, but really nice to see the work and the cooperation that we have with the Navy in all that. It really was a good testament to our team and to the relationship with the Navy to make all that happen. With that, I'll say thank you and we look forward to reporting hopefully more news to you and certainly we're going to report the next quarter. Thanks, everybody. 
Operator: And that concludes today's conference. Thank you all for your participation. You may now disconnect.